Operator: Greetings, and welcome to the BioHarvest Sciences Second Quarter 2025 Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before we begin the formal presentation, I'd like to remind everyone that statements made on today's call and webcast, including those regarding future financial results and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described on the call. Please refer to the company's regulatory filings for a list of associated risks, and we would also refer you to the company's website for more supporting industry information. In addition, throughout today's call, the company may refer to adjusted EBITDA, a non-IFRS financial measure, which it believes provides helpful information to investors about the performance on the business on an ongoing basis. A reconciliation of adjusted EBITDA to its most directly comparable IFRS financial measure is included in today's earnings release, which is available on BioHarvest's website under the Investors tab. On our call today is Chief Executive Officer, Ilan Sobel; and Chief Financial Officer, Bar Dichter. I would now like to hand the call over to CEO, Ilan Sobel. Ilan, the floor is yours.
Ilan Sobel: Thank you, operator, and good morning, everyone. I'm pleased to welcome you to today's second quarter 2025 corporate update conference call. Q2 marked a pivotal quarter for BioHarvest, not just in terms of execution, but in setting the stage for a major inflection in the second half of 2025. With continued gross margin expansion, growing VINIA subscription revenue and accelerating CDMO traction, we remain on track to achieve adjusted EBITDA breakeven targeted for Q4 of this year. Now before going further into the second quarter, I'd like to quickly introduce our company and background. BioHarvest is the inventor of botanical synthesis, a patented non-GMO platform that produces highly potent plant-based compounds without needing to grow the plant. Our cell banks replicate key fighter nutrients at magnified potency and industrial scale to enable the creation of consistent, soluble and bioavailable products. This allows us to serve high-value markets across pharma, nutraceuticals, cosmetics and nutrition, both through our branded products and as a CDMO partner. Now, moving to the second quarter. We continued in the second quarter scaling both our products and CDMO divisions. Revenue rose 41% year-over-year to $8.5 million, in line with our $8.5 million guidance. Growth was fueled by balanced performance across vinia.com and Amazon, plus revenue contribution from our CDMO services division, helping to drive our progress towards adjusted EBITDA breakeven in the fourth quarter of 2025. Looking at our direct-to-consumer health and wellness products division. Total active VINIA customers in the U.S. has reached approximately 65,000 as of end of July 2025, with subscription customers representing the majority of these daily users. Our Amazon business, which now accounts for approximately 20% of total sales, continues to deliver strong results across conversion rates, repeat purchases and return on ad spend. And VINIA is currently the #1 resveratrol-only product sold on amazon.com in the U.S. We continue to build real consumer equity and momentum across each of these core platforms. In Q2, gross margins expanded by 800 basis points to 60%, up from 52% in the same year ago quarter. This improvement reflects both scale and technology leverage driven by the deployment of 22% larger bioreactors, enhanced manufacturing yields and continued digitization of our biological production workflows. We continue to improve efficiencies within our supply chain. For example, in Q2, we began shipping all 6- and 12-month purchases in a single larger onetime shipment rather than a 90-day supply each quarter, which has reduced transportation costs and packaging materials and added 50 basis points to our gross profit margin efforts. VINIA has maintained its premium pricing in the resveratrol market. Our high customer retention and a 4.7 [ star ] average rating on vinia.com continues to validate the product efficacy and brand trust, and we are about to reach a major milestone of 10,000 customer reviews on vinia.com with over 9,900 verified reviews as we speak today. This is a very significant achievement for our hard-working VINIA team. Our direct-to-consumer health and wellness e-commerce machine is proving highly scalable, allowing us to successfully launch new VINIA Inside products via our e-commerce channels without having to add significant marketing dollars and enabling us to create strong operating leverage. In Q2, new products defined as all non-capsule products contributed to 20% of the company's incremental revenue growth versus prior year and now constitute a healthy 10% of the total revenue mix. This healthy contribution is balanced by the fact that our core capsule business is still the primary growth driver of the direct-to-consumer health and wellness business, contributing 80% of the year-over-year revenue growth in the second quarter. In Q2, we continued to expand our VINIA Inside delivery systems. And in June, we successfully launched VINIA Daily 2X Formula chews, a double-dose 800-milligram first-of-its-kind chew designed to increase nitric oxide production and arterial dilation and to enhance blood flow and oxygen delivery for athletes and individuals with high active lifestyles. These chews are informed sports certified meeting global antidoping standards and expanding access for us into the critical professional sports and institutional wellness programs. Our VINIA 2x Daily Formula chews are targeting a younger demographic than our core capsule business and enable us to capture revenue from a much younger consumer audience who are looking for the extra edge on the sports field and workplace. The consumer feedback so far has been very encouraging, and we are quickly building strong Amazon reviews with a very encouraging start with many 5-star reviews. In addition, we added this quarter 2 new SuperFood Tea SKUs, our English Breakfast and Matcha Green Tea in K-Cup compatible pods to follow the successful Q1 debut of our SuperFood Teas in sachets. Looking forward, we are also expanding our VINIA SuperFood coffee line with VINIA Espresso expected to launch soon in the Nespresso-compatible format, targeting the more than 5 million U.S. households that use the Nespresso original system. In the second quarter, we also saw major milestones achieved by the CDMO division. Firstly, we announced that a CDMO research contract had successfully completed Stage 1, becoming the first CDMO project to advance to Stage 2. We are excited to continue working with this valued pharmaceutical partner on a high-impact approved therapeutic drug product. And Stage 2 will involve successfully transitioning growth of the target compound to our liquid bioreactors. It is important to note that to date, we have 100% technical success rate when compounds successfully complete Stage 1 and that each stage in our CDMO development process represents positive revenue and high gross profit margin, improving our bottom line as we complete the critical research and development stages with CDMO partners, bringing valuable life-changing plant compounds to market. The CDMO business development team is actively building the new contract funnel. And in Q2, we also signed our first contract targeting a fragrance molecule. Our AI capabilities were integral in securing this new agreement and are providing invaluable insights as we engage with prospective industrial partners. Our target compound on this project is a provocative use case for our botanical synthesis technology as the compound is a highly valuable compound derived from an endangered plant species that sells for thousands of dollars per kilo. We now have ongoing CDMO projects for pharmaceutical, nutrition and fragrance industry partners, and I'm pleased to report that our deal funnel is very healthy. We are being very selective in the deals we finalize, but our expectation is that, we will announce multiple new CDMO contracts here in the second half of 2025. So as our products and our CDMO services business units expand, we are constantly innovating so that we can actively layer on incremental high-margin revenue drivers. I would like to spend a few moments here to discuss 3 examples of major new programs that are designed to rapidly accelerate our revenues in the second half of 2025, each of which is incremental to existing core growth catalysts such as incremental CDMO contracts and our upcoming olive cell product. I call these our big bets for the downhill of 2025. The first big bet I want to talk to you about is in our products business, in our direct-to-consumer health and wellness products business, where I am very pleased to announce the launch of our VINIA Health Pros' Professional Affiliate program, which is our new proprietary program to activate major health practitioners, athletes, coaches, trainers and health influencers who have significant followings and who share our passion for healthy and sustainable living. We have always fostered relationships with like-minded influencers and practitioners, but this formalized Health Pros' Professional program will dramatically increase VINIA exposure within our targeted partner physical and social networks and is expected to drive significant subscriber growth at lower acquisition costs. The Health Pros' Professional network will all be approved and supported by the VINIA team and our own proprietary back-end technology systems. And our goal is to have 300 top thought leaders enrolled by the end of 2025. We are launching with a dynamic and eclectic mix of partners. One great example is Dr. Anna Toker, a top colorectal surgeon with a growing social media audience of 160,000 Instagram followers who is focused on gut health and who advocates the critical importance of blood flow given the need for healthy blood flow in the intestinal tract to digest food, absorb nutrients and ensure optimal delivery of these nutrients to the body's tissue cells and organs. Another great new partner is Marcellus Wiley, an NFL Hall of Famer and sports media personality, who is partnering with us to bring the power of VINIA to his community and sporting ecosystem. Just these 2 health pros alone represent over 1 million engaged social media followers. Today, we kick off our test phase with 10 health pros using the platform. And in September, we will scale to 100 by the end of the month with a target of 300 health pros on our platform by the end of the year. Our second big bet also relates to our direct-to-consumer health and wellness business and sits squarely in my own personal wheelhouse based on my 18 years of experience with the Coca-Cola system, where I managed major hydration brands in the U.S.A. such as vitaminwater, smartwater and Powerade sports drinks. I'm excited to announce that we are in the final phases of commercializing our differentiated entry to disrupt the $13 billion electrolyte drinks market in the U.S.A. In October, we will launch our VINIA Blood Flow Hydration Solution into the market as a daily powdered electrolyte mix, which comes in 6 great-tasting flavors. We will be the first electrolyte hydration beverage powered by blood flow and driven by our unique VINIA matrix of Piceid Resveratrol and other polyphenols, demonstrating that this blood flow-driven hydration solution is a breakthrough that only VINIA and BioHarvest can deliver. Currently, the marketplace is swamped by players with marketing claims largely related to electrolytes. We plan to be a disruptor in the market, focusing on the importance of having better blood flow to deliver the necessary oxygen, fluids, electrolytes and nutrients to organs, muscles, tissues and cells, right where hydration matters most. In addition to the blood flow benefits we all know about, our solution will feature premium electrolyte sourced from nature. Our formulation features salt from the Irish Sea as our source of sodium, potassium from coconut water and magnesium from the ocean bed and at 25 calories, it tastes amazing. We have been very fortunate to partner with one of the best formulators in the industry, Louis Heinsz, the owner of Bevnology and previously Head of R&D for the Coca-Cola Company for Europe, Africa and the Middle East. Louis has partnered with myself and the team on the development of this product for the last 12 months and has invested more than 1,000 hours of R&D time to get this product tasting just perfect. Our VINIA Blood Flow Hydration Solution will be sold via our e-commerce channels and it is a great strategic fit for our Health Pros' Professional Affiliate program. Our third big bet is the addition of a new revenue driver in our CDMO services division. We call this our AI-enabled discovery phase. This new service offering has been developed for cosmetic pharmaceutical, nutraceutical and nutrition companies who need help identifying the most promising botanical compounds for their products. It leverages our proprietary AI trained on rare plant biology and biosynthesis and couples it with our team's proven ability to achieve full-scale production from indication to market. With these assets, we are uniquely positioned to provide companies and researchers and assessment for the most effective plant candidates based on scientific evidence, unique value propositions and prior success in tissue culture. We will provide models of feasibility and future product analysis, including evaluation of active ingredients and formulation, patentability, sourcing and safety, these customers will receive a final shortlist of suitable plant candidates with multi-pathway efficacy and full scalability within the BioHarvest system. This service includes the utilization of our computational biologists and access to our catalog library of plants information, whereby our PhD plant cell biologists analyze the AI-driven data to provide a human experience-based point of view behind the recommendation for plants to take into a Stage 1 contract. The discovery phase will be completed in 7 to 10 days at a cost to the CDMO customer of approximately USD 35,000 to USD 50,000. The goal of the discovery phase is to finalize 1 or 2 recommended plants to move into Stage 1, and we anticipate that this new service addition will accelerate the rate of new high-value CDMO customer projects entering into Stage 1 contracts. Each of these big bets, along with our subscription-driven operating leverage, expanding gross margins and maturing CDMO contracts are designed to put us in a strong position to reach the adjusted EBITDA breakeven target in Q4 of this year. With that, I'll now turn it over to Bar, our CFO, to walk through the financials. Thank you, Bar.
Bar Dichter: Thank you, Ilan. Good morning, everyone. I will provide you with a succinct review of our financial results. A full breakdown is available in our SEC filings and in the press release that crossed the wire before market opened today. Please note that all figures are in U.S. dollars unless stated otherwise. Revenue for the second quarter of 2025 increased 41% to $8.5 million, in line with our revenue guidance as compared to $6 million in the second quarter of 2024. The increase was as a result of continued success of the company's VINIA family of products. Gross profit increased 65% to $5.1 million or 60% of total revenue in the second quarter of 2025 as compared to $3.1 million or 52% of total revenue in the same year ago quarter. The increase in gross margin was primarily attributed to the benefits of increased manufacturing scale and improved manufacturing yields. Total operating expenses for the second quarter totaled $6.9 million as compared to $4.8 million in the same year ago quarter. The increase in operating expenses was primarily due to increased marketing spend and the development of our Health Pros' Affiliate program to support future revenue growth and higher expenses from the CDMO service division. General and administration expenses increased 61% in the second quarter as compared to the same year ago quarter due to onetime costs associated with our NASDAQ corporate compliance upgrade. Net losses for the second quarter of 2025 totaled $4 million or $0.24 per basic and diluted share as compared to a net loss of $0.7 million or $0.04 per basic and diluted share in the same year ago quarter. Adjusted EBITDA loss, a non-IFRS measure, totaled $1.3 million in the second quarter of 2025 as compared to an adjusted EBITDA loss of $1.2 million in the same year ago quarter. On a percentage of revenue basis, adjusted EBITDA loss totaled 14.7% in the second quarter of 2025 as compared to 20.7% in the same year ago quarter. Cash and cash equivalents as of June 30, 2025, totaled $3.7 million as compared to $2.4 million as of December 31, 2024. Importantly, with the current margin growth and expense discipline, we continue to project that we will reach adjusted EBITDA breakeven in the fourth quarter. We believe this is achievable within the second half of 2025 based on VINIA run rate growth, expanding Amazon contribution and maturing of our first CDMO programs. This inflection is a key financial milestone for validating the scalability of our business model. I would now like to pass the call back to Ilan to offer some closing remarks, after which we will begin our Q&A session.
Ilan Sobel: Thank you, Bar, and thank you all for joining us today and for your continued support of BioHarvest Sciences. As we wrap up today's call, I want to take a moment to recognize the strength of the platform we've built, the discipline of our team and the momentum we're carrying into the second half of the year, which I view as a monumental financial turning point in the history of our organization. I consider it a privilege to lead this company, and I remain confident in our ability to deliver, both operationally and financially against the incredible opportunity in front of us. We're seeing our strategy come to life. The direct-to-consumer business is scaling efficiently with growing margin leverage, and our CDMO pipeline is starting to unlock long-term value through marquee partnerships. This synergy between product and platform is translating into real commercial traction and most importantly, a path to adjusted EBITDA breakeven target in Q4 of this year. That inflection will mark a turning point for BioHarvest, a shift from foundation building to scalable execution and from early validation to accelerating value creation. Botanical synthesis is no longer just a breakthrough technology. It's a commercial platform with expanding utility across multiple high-value verticals. As we scale from here, our focus remains unchanged: execute with discipline, deliver measurable health benefits from life-changing plant compounds for millions of consumers and drive long-term sustainable value for our shareholders. With that, I'll hand the call back to the operator to begin our Q&A session. Thank you, operator.
Operator: [Operator Instructions] First question is from Matt Hewitt, Craig-Hallum Capital Group.
Matthew Gregory Hewitt: Congratulations on all your progress. Maybe to start off, if we could dig a little bit into the consumer side. I'm curious if the 2X chew launch has kind of progressed as you would have anticipated. How you think that ramp could look over the back half of the year? And then regarding the hydration launch, is there anything different given that this will be a liquid versus your prior consumer products? And how do you anticipate that launch proceeding into the back half of the year?
Ilan Sobel: Matt, thank you for your questions. The 2X Formula feedback has been phenomenal. I would encourage everybody to go to Amazon and have a look at our consumer reviews. I think the last time I looked, we had 25 reviews, read the reviews. It will help you understand the level of engagement that consumers have, the overall taste feedback, the overall functionality. And this is really encouraging because it's a premium product. It's $79. Obviously, it's still a strong value proposition because you're getting basically 800 milligrams of VINIA in each specific chew. So when you benchmark it versus singles, it's still a better value proposition. But from an absolute price point, we premiumize it because we understand that the user is different. The user is looking for very unique functionality, increased vascularity and all the benefits that you get from increasing nitric oxide from an overall blood flow and oxygenation perspective. So we're very enthused. It does take time to get the product out there and to get the reviews going. And just from an efficiency perspective, and you understand that we're all about marketing efficiency on how we operate, you can't really start spending significant resources on a platform like Amazon, as an example, until you have a critical mass of reviews. So now we're tracking at that 25 reviews, which is a significant number of reviews. The last time I looked, we had a 5-star rating from 25 reviews, which, again, just emphasizes the consumers' vote on quality, on functionality and on taste. So we're very encouraged, and we see that the 2X chews will continue to build momentum and be an important contributor for the business in the third quarter and then again in the fourth quarter as we start to ramp up additional marketing spend behind that and specifically because the new Health Pros' channel is going to be a key channel that the chew product is going to be totally appropriate for the consumer that the health pros, the discerning consumer that the health pros channel is focusing on. And that's probably a good segue to the hydration product that we're bringing to the marketplace. This is unique. And as I said in the notes in my comments earlier, it's personal. Having spent 18 years in the beverage business on both the ready-to-drink math and on the powdered side of the business, I did have the privilege of launching in Vietnam powdered beverages back in the previous life. So I have a lot of experience with this space. But, obviously, we're focused on the stick packs, which is the powdered beverage space, which today, just in the U.S., it's roughly about a $4 billion market. You have players like Liquid I.V. who lead this market that's right now more than $1 billion of revenue on an annual basis. And obviously, there's significant interaction between the powdered stick business and the ready-to-drink business. Right now, our focus is on the powdered stick business. As I said, we've developed a formula, which we believe is a game changer from an overall taste perspective. It's clean. The formula is super clean, which is so important for these consumers, very, very discerning. As you can see, you've got the power of VINIA from a blood flow perspective, which is powering hydration. And it's pretty much common sense when you actually talk to the consumer, you understand the consumer behavior and the consumer just cognitive thinking approach. Consumers understand that in order to have the best hydration, you got to have really good blood flow to transfer all the fluids and the electrolytes to your muscles, your tissues and your cells. So the consumer, it really -- it resonates very strongly. You can see -- and this is just work in progress packaging. We've evolved the packaging even more breakthrough in the last 72 hours. But it's very clearly, it's blood flow hydration. It's hydration powered by blood flow. And we have naturally derived electrolytes, which again, is very unique differentiated in the category with sodium from Irish Sea salt, the potassium from coconut water powder and the magnesium from the bed of the ocean and a really unique clean sugar sweetener system where we're using organic cane sugar and REBM with a very unique ratio that Louis from Bevnology has developed and you have a product that has very little after taste. So the power of the 2X chews and the hydration product all being doubled down and executing through our regular channels plus through the Health Pros' channel, this timing has been absolutely critical to start to build the additional scaling and additional incremental growth points within our business with -- in a way, with through the health pros with the sales force that politically, the health pros act as a sales force for our business, an educated technical sales force for our business to be able to communicate to the more discerning health-based audience, the power of our 2X Formula chews and hydration products. Thank you, and I hope I've covered your question.
Matthew Gregory Hewitt: No, yes, that was fantastic. Maybe shifting gears a little bit on the CDMO side. Obviously, congratulations on your color there. You noted the success with the initial pharmaceutical company and the fragrance. I'm just curious how that pipeline is progressing, maybe an update on the Tate & Lyle opportunity.
Ilan Sobel: Yes, sure. So we've been very busy to put it simply. The pipeline is significant. We have high single-digit number of leads that we are working on, and these are all, I would say, significant catalysts that we're looking to bring into the CDMO business. Not all of them will get through the gates, but there is consistently new use cases that we are being shared significant life-changing compound billion- dollar opportunities. A good example is the announcement that we made in May regarding the fragrance. I mean, that was a use case that we wouldn't have coming into this 12 months ago, thought that, that would be a use case. And we continue to see new incremental use cases, which just basically opens up the opportunities for us. The team is very, very focused on pulling that pipeline through. It's a really good mix of pharma, of nutraceutical and of food companies that are part of the pipeline. And we are confident that in the downhill of the year, so between now and the end of the year, we will announce at least 1 and maybe 2 new deals into the CDMO, which I think would give us significant momentum going into 2026. Importantly as well, as it relates to the new product that we've launched, the discovery product, this is -- for us, has been a game changer because many of our customers are coming to us. They have very clear indications that they're focusing on. But unlike Tate & Lyle, who are very, very focused and had done enormous research that was Plant A and Plant B, many of our customers are more focused in starting with the indication. And they'll come to us and say, look, we have a specific indication we're targeting, let's say, I'll just use a broad example out there, asthma. And obviously, they have -- these are companies that have played in the chemical synthesis space for the last 20, 30 years. And all of a sudden, they're starting to understand that there's massive blind spot out there that they have to make sure they get their arms around that may be a critical answer in driving a game-changing compound for their businesses. And that's when they knock on the BioHarvest Sciences' door because, obviously, we're the critical bridge between the planting them and scaling these life-changing compounds with unique consistency, economic viability and obviously, patents. And so, we've developed now this unique discovery process, which is indication focused and then utilizing the different tools, the computational biology tools that we've developed from -- and obviously, utilizing a significant amount of AI because we've actually been able now to catalog so many libraries of plants, of compounds of the mechanism of action of understanding what's worked in tissue culture, what hasn't worked in tissue culture. And we're able to very quickly, and it's normally like a 14-day process that we're able to work through it, be able to then sit down with the customer and say, okay, based on that indication, here are the 1 or 2 or 3 plants that we believe have the compounds that can be the next generation of life-changing compound for you. And we believe that based on the mechanism of action, based on the work that's been done in the last 30 years from a tissue culture perspective that we can deliver on this compound. And that then gives them the confidence to go into that critical Stage 1. So with this new tool, we're able to also increase further the amount of leads that are coming into the pipeline. And I think that's going to really stand us in very strong position as we go into 2026. Lastly, in the case of our Tate & Lyle partnership, the partnership continues to strengthen. The relationship between the 2 working teams is excellent. There's a great collaboration. We have sourced the critical -- one of the critical plants. We are working actively on the tissue culture work. And I promise that when we have news to share, we will be sharing that news, but the partnership continues to grow from strength to strength, and that gives us opportunities to -- Tate & Lyle are a significant company. They cover many categories. And I think Tate & Lyle have experienced the professionalism, the capabilities of our organization over the last 6 months. And I believe that can also open up some potential new opportunities for us outside of the existing swimlane that we've been working on. And at the right time, I can share a little bit more in this area, if appropriate. Thank you.
Matthew Gregory Hewitt: That's helpful. Maybe one last one for me, and I'll hop back in the queue. But will you guys be seeing any impact from the implementation of tariffs? And if so, how do you expect to respond?
Ilan Sobel: Yes. So, obviously, everybody is familiar that the final tariff impact from an Israel perspective is now sitting at 15% as far as transfer material from Israel to the U.S. We, obviously, are transferring material from one company from owned by BioHarvest to another company. So we have factored that in into our value chain. And, obviously, I would prefer it to be 0, but the impact of that, we've been able to manage that through driving efficiencies in other areas. We had budgeted actually for a higher number, thinking it was going to go up to 17%, and that's basically what we had factored into our downhill now that it's sitting at 15% for the moment. And I do think that, that's not stationary, that may change. So we do get a little bit of upside. And obviously, we're focused on everything here. But we have been able to factor that into our P&L and into our projections as we look to guide the business to that adjusted EBITDA profitability that we're focusing on getting to in the fourth quarter. It would be -- it's not a major impact, okay? The quantum is not major. It's manageable. And we've managed it through just religious focus on cost reduction in other areas to balance that impact.
Operator: Next question is from Amit Dayal, H.C. Wainwright.
Amit Dayal: Congrats on another strong quarter. With respect to the sales channels, Ilan, can you give us sort of a high-level overview of what are the different sales channels you will have by the end of the year? And how are you managing these?
Ilan Sobel: Amit, nice to hear from you. Okay. From a sales channel perspective, obviously, our core vinia.com direct-to-consumer business is basically the lion's share of our business. This today is roughly around about 80% of the business. Obviously, Amazon, we've been able to manage this at a healthy 20% of the business. So today, these are the core channels. In addition, we have a growing direct-to- doctor professional business, where we have a small team that focuses on key integrated medicine specialist centers around the U.S. and key doctors that actually do sell supplements directly to their patients. We've also opened up our international purchases in the last 2 months, and we're seeing a really nice steady stream of international purchases come through every single day. And that obviously helps us from a marketing efficiency perspective because they're seeing this through leakage of a lot of our TV. We do a lot of work with TBN, Trinity Broadcast Corporation, which is the fourth largest TV channel in the U.S. A lot of that content is projected into the Southern Hemisphere, Australia and New Zealand, also into Singapore, Malaysia and even into Europe. So we're starting to see now that those consumers, and that's one of the reasons why we turned on international purchasing. And every single day, we're getting more and more requests, and I believe that will continue to grow. The Health Pros' channel, Amit, is a major, major bet for us and something that I believe will be a critical source of our competitive advantage because to be able to manage and build that professional channel requires IT capabilities, critical technology that we, as a company, it's part of our DNA, the way we run our business with technology and systems running the whole back end of the business. We've spent literally the last 4 months building the back end of how do you onboard 300 health pros, how do you make sure that you have all the required information that's critical, banking information, tax information, being able to pay them at the appropriate time and all the back-end systems. We've now developed that. We've also developed all the content to be able to educate these people, the catalogs, the specific programming to make sure that these health experts understand the technical nature of our product, almost like it's our own sales force going out and communicating to the world the uniqueness of our -- in this case, of our VINIA product. And obviously, this -- the health pros will continue as we launch new products into the marketplace. So our expectation with these health pros that are coming on board, they are people that are highly respected in their ecosystems and their communities. Many of them have significant social media presence as we articulated with the 2 examples that we shared a little bit earlier. And we see this as being a critical strategic channel for the company, a channel that we can control, a channel that we're able to scale. Initially, it will go from 10 to 100 to 300 by the end of the year. And ultimately, we will continue to build this out and scale it. And my expectation is that, this will contribute shortly 20% of the business and will then start to kind of give us a nice balanced channel mix. And importantly, the marketing efficiency in this channel is much greater than all the other channels because it allows us to be able to generate a much lower cost of acquisition. So this should help us really drive increased marketing efficiency and leverage as we start to continue to scale the business. The only other channels that I think we would start to consider as we're scaling our business is other e-commerce channels, which play in parts of the world or play in certain areas that we don't specifically play in. And I'll be able to share more about that probably in the next call.
Amit Dayal: Understood. These health pros, are these like fitness and health sort of influencers? Or like are these some other type of folks or other credentials?
Ilan Sobel: No, this is like another level. A lot of the people we're going to be bringing on board on the health pros, they are doctors. They are nutritionists. They are physiotherapists. They are chiropractors. These are people that -- they are top coaches. They are trainers. These are people that basically live and breathe health every single day that when you explain to them about dilation of arteries and nitric oxide and ET1, they get. They understand exactly the uniqueness of our product. When you talk to them about solubility and bioavailability, they get it. When we talk to them about hydration powered by blood flow, they get it. These are educated people that live and breathe in the health and nutrition world. And we're very, very selectively bringing on board these people. We have very, very tight agreements with them as well. And so, it's a layer of very highly skilled trained health professionals that understand the science and understand the consumer and can be a very important and highly effective bridge between our company and consumers out there and a consumer that basically we can then target in a much more efficient way.
Amit Dayal: Understood. With respect to margins, you see -- we see another sort of improvement this quarter. Is there more room here? You spoke about some maybe slight headwinds from tariffs, et cetera. With that in mind, are we sort of capped at around 60% at least for the near-term?
Ilan Sobel: So I think you know my answer to that. And you know that we literally are a company that, as a result of some great work that Bar has done with her team and the systems that we put in, like we're like ABC costing on steroids in our company. We know every single step and what the cost is of that step, and we're maniacal in looking at every single opportunity to turn the knobs. So I would tell you that we still have target opportunities to turn the knobs. And you saw us share that example a little bit earlier, just purely by changing how we ship and shipping in a double pack for many of the households that have purchased 2 subscriptions for each household. This added literally another 50 basis points for us. And there are a number of other opportunities like that, that we will be able to execute between now and the end of the year. And then, obviously, we do get the benefits of scale as we continue to scale up the revenue of the business. So I would say to you, there's more in it. And we're very, very focused on literally turning every single screw. It may be -- the pace will not be as fast as the pace of what we've done. I mean, if you think about it, we went from 6% now to 60% in 3 years. But I think importantly, Amit, this is really, really important. I want everybody out there to understand this. The price of VINIA core package, which is our 90 days 3-month subscription package when we launched in May 2021 was $99. If you all go online today and you want to buy that same package, it's $99. We've maintained price. And show me another company out there that has, in this hyperinflationary 4 years, has been able to maintain price on their core SKU. This is super unique. It's driven by, number one, the company's vision and value system, which is all about democratizing life-changing compounds, and we felt that this price point is a magical price point and critical. And then just real servant leadership across the end-to-end value chain to find other ways outside of pricing to be able to drive margin in the business. So there are plenty of opportunities left for us. Obviously, pricing for us is not a lever that we want to be pulling because as we democratize and scale the business. We do utilize mix management. Obviously, our coffee products and tea products are higher margin than our capsule business. And I think with the success we're going to see in our hydration business, we have very high expectations. This will help us improve margin as well from a mix perspective. But again, on the cost side and the efficiency side, there's still more work for us. It won't be at the same pace, but there's still work to be done there.
Operator: Next question is from Anthony Vendetti, Maxim Group.
Anthony V. Vendetti: Ilan, I was wondering if you could just dig a little deeper into your botanical process there. Any other this quarter, particularly innovations in the process in terms of improving the throughput and any other new molecule isolation that you've been able to ascertain this quarter? And then just an update on your facility expansion.
Ilan Sobel: So from a botanical synthesis process perspective, Anthony, we've done -- we continue every quarter, there's a lot of work that we're doing on the process, let's call it the process optimization. I think I first want to break this up into the first area, which is around digitization of our facility as it relates to all the biological metrics that are critical for us to make sure that the cells are growing effectively on the growth curve in a way that optimizes the Piceid Resveratrol polyphenols that they produce, as well as optimizing potency, as well as optimizing yield. And my COO, Ilana and her team are growing in their knowledge because this whole piece is being digitized and with more data we're able to optimize. So we're getting better and better at doing what we need to do to drive optimization of yield and potency. And that's really, really critical. And that's all just driven by the digitization. We built a blueprint, a brain for our facility, which allows us also to be much more efficient in handling every single month anywhere from 100 to 140 bioreactors. There's no other company in the world that handles the quantum scale of bioreactors that we handle. This is number one. Number two is -- and I actually sat down with the team before I went overseas. So like last week, Wednesday, I had a great 3-hour meeting with our process engineering team, and there are certain parts of our process where we have an opportunity to automate these processes more effectively. And so, there is a significant amount of work, specifically in the area which we call harvesting, which is when we basically take the cells when they finished their growth cycle and we separate it from the liquid. We call this harvesting. We are now working on a number of different technologies to much more efficiently work through the harvesting side. And then similarly, on the drying side, there's a number of technologies that we're working on right now because as we scale our manufacturing capacity, we will be putting in place our own drying capacity. And that's, again, just to the earlier point around the margins, once we start to bring at least a large proportion of our drying in-house, this will allow us to improve gross profit margins. So everything that we're doing from process optimization as it relates to harvesting as it relates to downstream drying and upstream digitization, all of this is ultimately allowing us to get better at what we do and will translate over time in much better gross profits for the direct-to-consumer business. But importantly, all of this translates into the CDMO business itself. In addition, we're also working on the next generation of bioreactors. Now we're at 1,200-liter bioreactors. And we're not going to â €“ so we don't stay stationary. We keep on moving. We went from 350 to 600 to 800 to 1,000 to 1,200 liters. And as we plan now to move to our next facility, which we will commence the more specific manufacturing towards the back end of this year, the expectation is to be in 2,000 liters and above. So there's a lot of work that we're doing in that space. And this is just part of how a company like ourselves that's building a movement of change to bring life-changing compounds to the world. It's like the natural cycle of just continuous improvement around the process engineering of our end-to-end business so we can get better and better as it relates to botanical synthesis. On the CDMO side, and I speak here on behalf of Zaki, it's amazing the way Zaki and obviously, given his background as a mathematician and an engineer, Zaki has built a, I would say, a best-in-class computational biology team with some real experts from the industry, and this is really starting to be seen as a force of our competitive advantage across the business. Our business, we don't talk about it a lot externally. You don't see us kind of stumping our chests around how we use AI, but we're using AI across our entire business and specifically within the CDMO business, whether it relates to the work that we do from a discovery perspective or it relates to the work we're doing on the actual tissue culture work in leveraging the power of AI computational biology to get more and more efficient all the way through to -- we live in an ecosystem in Israel, probably the best ecosystem as it relates to tapping into best- in-class cutting-edge technology to make us more efficient like computer vision. We started a major project in the area of computer vision so that there's less handling of the materials, and we can actually use computer vision to be able to -- an AI, a combination of computer vision and AI to be able to assess whether the tissue culture is growing the right way or not. So continuous, continuous, and this is really part of the culture and the innovative mindset that we have at BioHarvest.
Anthony V. Vendetti: Okay. Great. And then just maybe one last follow-up. In terms of the quarter we're in now, I know fourth quarter '25 is the target for EBITDA breakeven. But for this quarter, are there any other major milestones by September 30 that we should be looking for between now and then?
Ilan Sobel: Look, I think you'll start to see the impact of the Health Pros' in the month of September. For us now, as I said, we're bringing in our first 10 this week. Everything is ready. The whole back end is ready, the front end is ready. It's a huge effort of the whole marketing organization and as well as the IT side of the organization. So -- and then we plan to very quickly bring on board 50, 100. And so, we should start to see some of those benefits come through in September, but we're working through very methodically and carefully around how we do that. But the impact -- the true impact of that will be in the fourth quarter. Similarly, the hydration product, we will launch -- we're trying to get production completed in September. And because the product is Informed Sports certified, and again, it's one of the few products in the market, that actually is third-party verified antidoping. We've been very, very technical on how we're bringing this product to market. Everything is best-in-class. So with Informed Sports certification, it takes about another 10 days from the time you've done manufacturing to send samples to London to make -- because every single batch is certified to make sure it passes antidoping laws. And this is so critical to get into NCAA18s, NFL, MLS. And I really believe we have the game changer, the game changer of hydration as it relates to the science, as it relates to the taste and then ultimately, efficacy when it comes to these athletes. And that's why it was so important for us to invest in Informed Sports certification. So the true impact, again, will be in October. We are doing a lot of work on the CDMO, and there's a lot of action going on, but I don't want to be overly predictive on this, and we will obviously share more updates when appropriate over the next 6 weeks. But you can see the business is gearing up for putting in place the infrastructure to really have a significant acceleration in the fourth quarter. And I think it was important for us to give our shareholders the visibility of what that looks like, building on top already very, very good core momentum in the business.
Operator: Next question is from Hunter Diamond, Diamond Equity Research.
Hunter Louis Diamond: Congratulations on the strong results. My question relates to the CDMO, again, when do you see that sort of ramping up high level and contributing more meaningful to revenue? And maybe you could touch on the Phase I, Phase II assets, the breakdown of contracts or how you see -- where you see the low-hanging fruit? Is it more coming in earlier stage or some later-stage compounds that you're able to work with?
Ilan Sobel: Hunter, thank you for the question. So look, just to kind of remind everybody, we've made huge progress. We moved our NASDAQ- listed pharmaceutical company that has an approved drug, I repeat, an approved drug. We moved them already from Phase I to Phase II in the second quarter in May. And so that was really a major, major validation of the power of our technology and given the fact that this is quite a unique biological material that we plan to produce for this very, very strategic partner. And as you know, we are now working very closely with Tate & Lyle and then, obviously, the fragrance opportunity, which we haven't really spoken about in a public forum like this. But this is a monster of an opportunity of a category or I'd call it more like a segment, which is $16 billion and it's just waiting for innovation just given the sustainability challenge that exist -- literally, the particular plant that we're dealing with here is a plant that in 20 years' time may not exist. It's a rare plant, and it's a massive opportunity from a financial leverage perspective for us. So what's already in the queue is significant. And each of those opportunities are literally specifically on the Tate & Lyle side and on the fragrance side, these are multibillion-dollar opportunities. On the pharmaceutical side, it's a good million -- multimillion dollar opportunity. So what's sitting in the pen looks really, really good right now. And as I mentioned a little bit earlier, the team have built an amazing pipeline. And what's really very encouraging for me is that, that pipeline has not been built by a crazy amount of marketing. The demand creation is coming from the customers. It's customers that are finding us and are totally intrigued, overwhelmed by technology and then start to understand what it could actually do for their respective businesses. And that's why through our significant interaction with the customers, we decided to bring into play the discovery module because we felt that this for $35,000 to $50,000, a few weeks of work by our computational biologists together with our R&D team, we could very quickly get customers on the path into a Stage 1 project. So going back to your -- that just gives a bit of color and texture on what's going on, which is super exciting. But what's important going back to your question is, when are we going to start to see meaningful contributions? The meaningful contributions, I believe, will start coming to play in early next year because we'll start to see more of the existing projects coming into -- so Phase 1 moving to Phase II, Phase II moving into Phase III. And then as a result of a lot of the work we've done in building the pipeline, you'll start to see a lot more projects coming into Phase 1. So the contribution of the CDMO will continue to increase. And by the way, the CDMO contribution right now, it's meaningful. It's not insignificant. It's meaningful because as we're realizing revenue on a quarter-by-quarter basis, it's becoming more and more meaningful each quarter. And obviously, that will continue, and we'll start to probably break it out more clearly for the -- our shareholders and the analysts as we go into next year.
Operator: This concludes our question-and-answer session. I'd now like to hand the call back over to Mr. Ilan Sobel for his closing remarks.
Ilan Sobel: So thank you, everybody, for making time. I know for some of you on the West Coast, it was pretty early this morning. I appreciate that. I hope after the last 1 hour, you really see the progress that the company has made, our ability to maniacally execute day in, day out and deliver on what we said we would deliver. I also hope you walk away from this conference call encouraged by the additional capabilities that we're building as it relates to new channels, as it relates to new breakthrough disruptive products going into multibillion-dollar categories, all the way through to what we're doing on the CDMO side with our new discovery service, which ultimately has the ability to really act as a significant catchment of customers that we can bring in and progress through our CDMO. And it's those capabilities that we're building that combined with the momentum of the business that together are ultimately going to ensure that we deliver on the financial metrics that are so important that we're all my management team, Bar and kudos to Bar, who's just so focused on ensuring that we execute on our financial metrics. And as I said earlier, we have such great visibility, data visibility on where we need to be focusing our resources on to ultimately deliver those critical financial milestones that I believe all of our shareholder partners are obviously eager for us to cross the line and then really start to scale this business and our capabilities and build a life-changing company that's delivering compounds that affecting -- positively affecting the health and wellness of initially millions and 10 millions and ultimately, hundreds of millions of consumers around the world. So thank you for your time, and I'm super excited as we move into an exciting downhill of the company as we continue to build on the existing momentum. Thank you.
Operator: Ladies and gentlemen, this concludes today's teleconference. Thank you for your participation. You may now disconnect your lines at this time, and have a wonderful day.